Operator: Hello, and welcome to the Castellum Interim Reports January through March 2022. [Operator Instructions] Just to remind you, this conference call is being recorded. I am now pleased to present our speakers, Rutger Arnhult, CEO; and Maria Strandberg, CFO. Please begin your meeting.
Rutger Arnhult: Okay. Good morning. I’m Rutger Arnhult, representing Castellum as the CEO since the beginning of the year. We just released our first quarter report, and we’re happy to announce that we increased the income from property management by nearly 50%. And the earnings per share is up by 21%. We reported a positive net leasing of SEK 25 million. This is the 30th month in a row actually with a positive net leasing. We had 2 bad quarters 2.5 years ago. Since then, it’s been positive. So still strong, stable and solid financial position with a lower than ever LTV position of 37.3%. And we do also have a strong growth in the net asset value, which increases by 18%. We have increased our focus on the Nordics, our Nordic platform. And we have, during the last year, expanded in Norway, as you know, and in Finland. Meanwhile, we have also grown a lot in Sweden by the acquisition of some assets and then on top of that -- specific assets and on top of that, de-consolidated an acquisition. The first quarter shows an expansion in Norway since our interest of -- company of interest there. Entra has grown quite significantly and also are showing a good value increase. So that’s the position today. 12% in Oslo. 4% in Helsinki, 26% in Stockholm and then a position in Denmark of 3%. The total volume is record high, SEK 182 billion and the -- with a total of 6.3 million square meters. Looking into the portfolio, it’s today 80% in Sweden of the value, 85% of the lettable area, 16% of the value in Norway. And the property categories is 58%, office, and then off top of that, of the value, 14% in public sector. But looking at the income, 22% is from the public sector. We do have a diversified geographic and real estate portfolio. As you can see on Slide 5 here, Stockholm, it’s about 1.1 million square meter, the West Gothenburg, 1.3: Central Sweden, 1 million and then so on. Stockholm is largest with almost SEK 47 billion in book value with a rental value of SEK 2.4 billion yearly. And looking at categories, as I mentioned, public sector, 22%. I’m changing to Slide 6, which is the largest. And then we do have a mix of large listed national and international corporates, together with these government contracts. Looking at the list of our 10 largest tenants, you can see that ABB, AFRY, the 2 largest. And then we do have the Police, the National Courts Administration, Handelsbanken, Swedish Social Insurance Agency, Migration Board, Region Stockholm, that’s also government. And then Axis Communications and E.ON. That’s the largest -- 10 largest. Stable companies, companies that grow. Looking at rental markets, Page 7, you can see that we do have slightly increase in rental levels in all CBD markets in the Nordics. You can also note that we do have a falling vacancy ratio in Oslo, which is positive, now reaching 4% there. It was about 5% a year ago. But overall, stable vacancy levels and increasing rental levels. And we did, once again, showed a positive net leasing from Castellum. Page 8 shows this positive net letting. And you can see that at the end of the 2019, we did have a negative one. But since then, it’s been positive which it normally is in an increasing economy and good corporate environments. And that’s what we experienced today. We do note that we do have companies coming back from being -- working from distance, specifically in Stockholm, where this has been the most common way over the last year. Now we see that companies, the employees are coming back to the companies, and we do have an increasing activity. The best region actually in the first quarter was Gothenburg, where you haven’t had the same kind of working from distance situation as you have had in Stockholm. But now we expect Stockholm to take back some of their -- some new -- how do you say it, come back into the game with more activities. We have stable values. Even though we have divested even in this quarter, we sold off in Gävle, a small town, a position of slightly more than SEK 2 billion that we sold the whole portfolio. It also helps us to bring back the LTV to a really strong level, gives us power to do other investments in other cities going forward, focused on projects, focused on maybe acquisitions in cities where we are larger. You can note that we did have a positive value changes in the portfolio. Half of that comes from better -- more or less half of that comes from better cash flows in the properties, half of it comes from project gains, and then almost nothing from change in yields. So we had a positive figure of SEK 400 million in the quarter. The transaction volumes are record high. As you can see in the graph on Page 9 to the left there. The first quarter ended up with, I think it was SEK 53 billion, which is slightly more than last year. And last year was a record year, as you know. So still a strong transaction market. We do have -- Slide 10, we do have a very diversified debt structure, the largest portion of that is from bonds, Swiss bonds, Eurobonds. And then it’s with 62%, then it’s bank loans with 29% and commercial papers with 9%. The maturity structure is presented here it is well diversified and spread out over the next coming years, not too much coming this -- within the next 12 months, which is more or less taken care of. Slide -- next slide here, solid and stable financial position. We are decreasing our LTV ratio so now it’s 37.3%, and we do have a strong ICR of 5 or you can also say 500%. We have -- we are maintaining our strong and high activity in ongoing projects. We have a project portfolio of -- a total of almost SEK 11 billion. The larger ones are SEK 8.2 billion here of which are built up SEK 3.7 billion, remaining investment, SEK 4.5 billion. And the occupancy ratio in the portfolio is 57%. Some are more or less fully let and some are fully let. Some are 100% vacant and that’s because they are in an early stage. And then with a few exceptions, some logistic properties we built on speculation because the market is so strong. So we believe we will have them fully let before they are completed. Yield on cost on average, 5.4%, which is slightly higher than our average yield in the portfolio of 4.7%. To show you some examples, which number is this slide? Well, it’s a slide of a beautiful building in Stockholm. It’s Infinity. It’s an investment of SEK 1.8 billion. It’s almost 20,000 square meters. It’s an early stage. So it’s, at the moment, not let, we can’t -- it’s hard to pre-let because it’s not coming -- it has not come that far. But it’s a beautiful building and will be completed in 2025. So that’s something to start working on the letting, I would say, next year. Totally different one. Next one, the new head office for the Nordics of E.ON in Malmö, more or less fully let. It’s a E.ON building headquarter, super sustainable. It’s more than 30,000 square meters and it’s an investment of SEK 1.3 billion. And the similar one in the same city for the court association in Malmö also, SEK 1.3 billion, 26,500 square meters. Beautiful building, next -- more or less next door increases our position in Malmö with modern efficient buildings. Another example also Malmö, which comes from the Kungsleden portfolio it is Eden in Malmö. It’s a mixture of tenants, co-working and so on. Existing and new tenants are moving in, and it just opened up in the first quarter. It’s slightly a smaller one of nearly 8,000 square meters, beautiful building. Another example, also a court in -- so it’s also a government building of slightly more than 9,000 square meters. It’s an investment of SEK 300 million. It’s in Jönköping, Central Jönköping. Another example of a small, efficient and beautiful building in our portfolio in one of our more regional cities. And then an example on logistic property, Drevet, in Helsingborg, big one. 22,000 square meters, close to the major road to Stockholm, Gothenburg, A4. Efficient building, good ceiling heights and so on, tenants moving in when it’s ready. It’s going to be completed end of the year. The 10 largest projects, Slide 19. 85% of this will be completed within 24 months. The exception is the top one. That will be completed in the first half of 2025. The rest of the projects are going to be completed before that within 24 months. It’s a huge portfolio. In total, it’s SEK 11 billion in projects. So it’s -- this portfolio plus another SEK 2 billion in smaller -- small projects, but it’s a large number of different small projects. So in total, almost SEK 11 billion. This is something we’re really focus on because it gives us a slightly higher yield than we can -- than we have on average and it’s definitely a higher -- much higher yield than we can achieve when we try to buy new buildings. So we add on high-yielding, modern, efficient buildings in good locations. We are, as you know, one of Europe’s most sustainable property companies, one of the world’s most sustainable property companies actually. We’re #1 ranked in the Nordics. We’re #2 in Europe. If we compare ourselves with our competitors, our likes in the sector here, we do have a 41% lower energy consumption, which is very good, and we try to improve that every day as well. We are investing a lot in solar cell plants. Today, we have built 66 of them, we have another 34 in pipeline. And today, they produce 6% of our total energy needs or electricity needs. We also certified our buildings. And today, 246 of them are environmentally certified, which corresponds to 61% of the property value. Financial performance. What should we highlight? Maria, I give the word over.
Maria Strandberg: Well, thank you, Rutger.
Rutger Arnhult: She was pushing me there.
Maria Strandberg: I’m so sorry.
Rutger Arnhult: That’s okay, yes.
Maria Strandberg: Well, as you have heard, we delivered strong results from all parts of the business. Castellum’s ownership in the Norwegian listed Entra is 33.3%. We report our holdings in Entra as an associated company in the figures and the figures are based on Entra’s Q1 report. The value of the property portfolio sums up to SEK 182 billion, including our holdings in Entra. This is an uplift of SEK 6 billion in the first quarter despite the sale of our property portfolio in Gävle. Income from property management increased by 48% to SEK 1.5 billion, and this is, as you have heard, a new record for Castellum. The rental income in the like-for-like portfolio increased by 4% due to new leasing, successful renegotiation and indexation. About all of our leases are index-linked, which means that we will be fully compensated for inflation. Our vacancies have decreased and the average economic occupancy rate for the period is almost 94%. On the other hand, we have also had increase of costs in the quarter. Property cost in the like-for-like portfolio increased with 7%. This is mostly a result of higher energy prices, but about half of the cost of electricity and heating are passed on to tenants. Increased administration costs are mainly due to the merger with Kungsleden. Some of the increase is temporary and will in the long term decrease as a result of synergies. As previously communicated, there are both financial and operational synergies that will be achieved on an ongoing basis within 2 to 3 years. And because of the FX explained, net operating income in the like-for-like portfolio increased by 2% in the quarter and for the entire property portfolio, net operating income increased by 38%. Our successful acquisition last year of Kungsleden in Sweden, increased holdings in Entra in Norway and Kielo in Finland, enabled a 21% increase in income from property management per share. This is well over the target of 10% annual growth. So a great start to the new year. And then the EPRA key figures. Due to growing profit from property management and positive value changes. We have a great increase in all figures. Our long-term asset value, EPRA NRV increased by 18% to SEK 259. So as a summary, we delivered in all parts of the business and have started the year in a very good way. And now, Rutger will present outlook and takeaways.
Rutger Arnhult: Yes, back to me. So what’s our outlook? And what’s our takeaways? Well, I think it’s important to stress that we do have a stable rent-to-market, and we also have a strong property market, which makes it possible for us to refurbish our portfolio, which we did by selling off in Gävle, for example. Stable yields. It’s also important for our balance sheet, of course, and we see a strong market there. Lots of investments. Investors are piling up and most of them are not able to buy what they want to buy. So a strong market. We do have a financial stability and that’s a strong financial position, and that’s important. I think we will see going forward a difference between good -- the strong companies and the less strong companies. So you will see a diversification of what we can borrow at. And we’ve seen that the yield spreads on bonds, for example, has changed with between 70 and 450 points. and we come out on the lowest part in that comparison, which is very, very important. We still keep our large focus on project developments. By building our own buildings, we know what we get and we get better yields and definitely better yields compared with what we can buy at what levels we can buy. So continue to focus on projects on -- develop from our own portfolio. We continue to work with the integration of Kungsleden. We are more or less integrated fully by the time of the summer vacations, and then it will take some months, in some cases and some years, in some cases, to take benefit from the synergies. Full focus on that. I would like to point out again, income from program management per share. The EPS increased about 21%. The low LTV of 37.3%, the strong occupancy ratio of 93.6%, almost 94% increased. I will also stress that we do have shown a strong and good access to the capital markets lately by issuing new bonds and refinance old bonds from the Kungsleden portfolio for example. And we show a positive net leasing, which is the strongest evidence of how the market are. And we also noticed that the activity in the Stockholm market really picks up after having been the slowest market for the last 12 to 18 months due to COVID more hurt than every other market in the Nordics, I would say. So people coming back to the office so -- and we experienced a strong market and it’s shown by positive net leasing. I think that’s it. And I will open up for questions if there is any.
Operator: [Operator Instructions]Our first question comes from the line of Markus Henriksson of ABG.
Markus Henriksson: I have 3 questions. First, it’s regarding the investment ramp up here in ‘22, ‘23, ‘24. You invested almost SEK 4 billion in 2021. And now, we have the Q1 figure here for the 2022. But how do you foresee your investment ramp-up? You discussed a lot about ongoing and coming projects.
Rutger Arnhult: Yes. I think we will. In this quarter, we invested slightly more than SEK 1 billion. I think if we can keep that level, I’m very pleased. So hopefully, we can generate projects on our own to be able to keep a level of SEK 1 billion a quarter. The best would be to ramp -- be able to ramp up it even more, but at least SEK 1 billion per quarter would be a good, good volume. That’s the best way for us to grow. We get modern and new buildings in good locations located in the cities where we are focused, too. So we maintain that. And also longer -- we also achieved in many of these cases, really long, stable leases from day one.
Markus Henriksson: Then I can see that costs for some of the major projects are up 3% to 5%. You also increased the rental values up somewhat. Do you think should we expect further cost increases in your ongoing new constructions? And how do you think currently regarding new project starts? What’s the discussions with the construction companies?
Rutger Arnhult: I think an existing portfolio, we are quite safe and secured with the cost side, but I’m sure we will -- we’ll see some costs coming up. So full focus on that, but most of the costs are locked in. Going forward, it’s going to be an issue because we see -- as you mentioned, we see increasing cost all over the production side. So it will affect new projects going forward. But I’m a strong believer of the -- I strongly believe that the market will -- the rental market tenants will be willing to pay the extra cost for no location. It will become more expensive. But I think they will be willing to pay that extra cost because when it comes to new construction, the company’s -- the cost for the company is not that large. It’s a smaller part of their total cost. So we’ll see, but that’s an issue, definitely. New construction, tougher pricing on that, increasing prices. And we need to get -- be able to make sure that we can get it from the new tenants. And I believe we will be, but that’s going to be a thing we have to work with going forward for all of us in the sector.
Markus Henriksson: Last question, you’re divesting Helsingborg and Gävle. Have you divested all non-core assets you wanted? Should we expect more divestments going forward? Or are you a net buyer in [assets] going forward?
Rutger Arnhult: We will -- probably a net buyer, but we haven’t divested everything. We did -- when we announced the acquisition of Kungsleden we showed that there was a 90% overlap and we still haven’t sold the 10%. So there is still properties on the sell list. But it also -- we are also presented by new possibilities all the time. We haven’t been so active on buying single assets lately. We did a few acquisitions last year in Stockholm, 2 of them, 1 in Solna Strand and 1 in Solna JärvaKrog. That’s actually 2 last smaller ones, SEK 1 billion each. Investments like that, I’m sure we will be attracted by over the next coming quarters, but we will also sell off. So net-net not -- we will not be a net seller, I guess, rather a company that grows over the next 3 quarters this year. But it’s always hard to give a prognose here because you need to find the right buildings and the right properties that attracts you. We’ll see. But that’s -- we are not done with the sell-offs. That’s for sure.
Operator: [Operator Instructions] And that next question is from Erik Granström of Carnegie.
Erik Granström: I have 3 questions as well. Starting off with property costs. You mentioned that 50% of the increase due to electricity and so on is being passed on to the tenants. Did that take place in Q1, meaning that, that is part of the 4% like-for-like? Or is that something that happens later on?
Rutger Arnhult: That is actually something that happens later on. So we do have some -- we do bill tenants for electricity costs and so on. But they do have a fixed -- in most cases, a fixed amount but that amount is being adjusted afterwards in correlation to the energy index. So it will come later on. So we are kind of banking. We are banking the tenants’ rising electricity costs for a while.
Erik Granström: And is that something that takes place at the end of the year, so in Q4? Or is it something that happens during the year?
Rutger Arnhult: It’s more, I would say, Q1 next year.
Erik Granström: Okay. So about a [indiscernible]...
Rutger Arnhult: It’s lagging a lot yes, unfortunately.
Erik Granström: Okay. And then my second question is regarding valuation. Have you taken into account indexation at all in property valuations in Q1? Or how do you expect to handle that?
Rutger Arnhult: Indexation -- in the valuations, the indexation came in more or less in the fourth quarter since we had the October figure at that point. So I think I’m quite sure that all the valuation firms included the 2.8% in their models. So that’s taken into account. One issue there, Erik, with the electricity energy cost, it can be that if electricity costs fall, again, if they come back down, then we will overbuild our tenants 2023 compared with what the cost is. So we get it back and maybe we have a gain on it during 2023. And then, of course, adjust it again to 2024. So we are banking now. It might be the opposite 2023, we’ll see.
Erik Granström: Okay. That’s clear enough. But regarding the indexation, I was more thinking about the current inflationary rate? And does that mean that you don’t expect to make any adjustments, except for when you have the October figures for 2022, meaning it will take place in Q4 this year?
Rutger Arnhult: Yes. I think that’s the way the valuation firms do. They don’t adjust for inflation quarter-to-quarter. They normally do it annually. So we have to work with our rental levels over the year. That’s taken into account so -- and leases. So the best thing to -- the best way to improve our values is to increase the occupancy level and increase the rental levels in the negotiations we do daily. As you know, we negotiate about 1/4 or 1/5 of the portfolio yearly. So that’s where we have to put in the energy to really increase and have the raising inflation as an argument in those negotiations. Some examples, we are increasing -- are asking prices a lot, for example, on logistics. We ask for a lot more than we planned for. So we try to take use of this inflation situation and really cover our costs in that way.
Erik Granström: Okay. Fair enough. And then my final question is regarding your LTV. It’s now down towards 37%. What kind of opportunities do you see out there aside from the project portfolio? I mean you were big share -- you bought back shares in Q1. Is that something you’re looking into currently as well? Or how do you plan to handle the balance sheet?
Rutger Arnhult: Well, yes, we can, of course -- we do have a mandate of buyback mandate from the Annual General Meeting. We will most likely use that if the share price is as low as it is now, if we can buy the share at SEK 195 and the asset value is -- net asset value is more or less SEK 260. But then, of course -- because that’s a good deal, a 25% discount. But then, of course, also see if there is opportunities to use a strong balance sheet to buy, to expand, to continue to expand. Our long-term goal is, as you know, a 10% yearly growth. We’ve grown a lot more than that last year. So maybe we slow down for it. But long term, it’s definitely our ambition to grow by 10% yearly. And then we need to buy buildings as well. It’s not enough by just creating our own projects. It doesn’t -- make us grow as much as we would like to. But it’s a strong balance sheet, one of the strongest in the sector in the Nordic sector. So -- and which make it possible for us to come to the bank and borrow new money. Also make it possible for us to borrow at the bond market. We are an attractive issue of bonds, but we are also very cautious to maintain that position that we have a strong rating and a good relationship with the bond market. So it’s a balance, it’s a balance. But for sure, we do have the power of doing things. It’s a very, very strong company, Castellum. It’s amazingly strong with the cash flows and the position. And also bear in mind, the high yield on the portfolio average yield of 4.7% and we’re adding on new products all the time with a higher yield, 5.4% is average in our portfolio. Newly built long leases. So a very strong position, very strong pipeline on projects. And we do have the possibilities to -- possibility to do some interesting things if there is opportunities. And as I mentioned before, the situation for us compared with some others are very different. Some has experienced a really, really strong or have increases on interest rates -- margins. Meanwhile, we have seen increases of about 70 points on the bonds.
Operator: And we had one further question come through, that’s from the line of Anton Wilen of Bloomberg News. [Operator Instructions]
Anton Wilen: How much further could you increase your LTV ratio? You said you’re happy with -- that it was lowered, but what’s the comfortable LTV ratio for you if you’re going to be a net buyer going forward?
Rutger Arnhult: Well, at today’s market, it’s very -- we feel they’re comfortable with the low LTV, but we also -- we have -- it’s more or less set by the rating institutions. In our case, Moody’s and an LTV above 45% is not okay for them. So that’s our headroom. We have to stay between today’s level and 45%, reaching 45% makes them a little bit nervous. So they would like to see some haircut on that and maybe 44%, 44.5% in reality, passing 45% then we need to have a very, very strong and believable explanation and show them a way to get back down below 45%. So that’s the room we do have for -- that’s as much as we can stretch. We are today a strong company in each and every market where we operate, but we could definitely become stronger in Helsinki since it’s a big town or in Copenhagen since it’s also a big market and our portfolio of SEK 6 billion -- respectively, SEK 7 billion in each of those 2 markets is not -- it’s a large portfolio -- but it’s a large portfolio, but it’s not very much in comparison to the total market. So if somewhere, we would like to expand there, but it needs to be a good deal if we should do anything. And at the moment, we’re just focused on the integration. So it’s nothing we plan for, but that’s the limitations. So maintain the strong ratings and maintain the good access to the international bond market. That’s a major focus also.
Anton Wilen: Okay. And would you say you have been more inclined to lean more towards bank financing in the recent months or are you still looking for the bond market?
Rutger Arnhult: We try to -- we balance that. So we love to be the best client of our banks. We do have all the Nordic banks. We work with all of them. It’s very important so that we balance this. But as you know, to get the rating, we also need to have a certain amount of unencumbered assets. So -- and where we are today, that’s the mix is where we need to be. So we -- actually, we do have the perfect mix, I would say. It could shift a few percent up and down the portion from each lender. But it’s -- that’s -- we’re more or less where we would like to be. Very slightly over the years, but not much.
Operator: [Operator Instructions] Okay. There seems to be no further questions from the phones at this time. So I’ll hand the floor back to our speakers.
Maria Strandberg: We have some questions coming in from the chat as well. And the first one is, in your view, how much higher interest rates can current property valuation with STEM before yields are affected?
Rutger Arnhult: Good question, good question. I wish I knew the answer. But I’m sure that the market -- sure, I’m never sure of anything, but I think that the property market will not be affected by an increase of, let’s say, 1% from today’s levels. if it would be affected, that would surprise me definitely because the market has never expected the rental levels to be this low. So 1%, maybe 1.5% will not affect. If it increases more, then it probably starts to increase the yields. So that’s SEK 150 million. Then it starts to affect the market. That’s a guess. But I would be surprised if it doesn’t.
Maria Strandberg: All right. Next question is, it looks like you issued a 5-year bond in April with a 3.84% coupon rate. Was this issued at par?
Rutger Arnhult: It was issued at par. Yes, yes. So we pay STIBOR SEK 155. And today, that is traded at -- something SEK 148, SEL 150. So it tightened a little a little bit, and that’s where it still is.
Maria Strandberg: And the next question is, what type of properties are you mainly interested in acquiring going forward?
Rutger Arnhult: We are mainly interested in office and logistics. That’s our main field and for the private larger companies and government. So we continue to focus on our existing focus area.
Maria Strandberg: Yes. There is also a question about the portfolio going forward. [David Johansen] is writing like this. The sale of the portfolio in Gävle, the premium to book, combined with the significant repur per case at the discount to NAV, looks like a very smart use of found since it combines a refinement of your portfolio with value-adding repur cases. If you could elaborate on how the transaction market is functioning right now, would similar deals be possible going forward, do you think?
Rutger Arnhult: Yes, it would be possible to do similar deals today. We did sell above book value. And on top of that, we also did a gain on the tax situation as big as -- or even bigger actually because the discount for deferred tax is lower, much lower than the booked deferred tax on the property. So it’s a really good selloff as mentioned. And then buying our own shares with discounts, it’s a really super trade. So I can’t -- I just agree, I just agree. More of that would be lovely. So -- and we do have portfolios for sale still. As mentioned before, the overlap in the constating portfolio was 90%, not 100%, and we haven’t sold all of those 10% that was not overlapping. But then also in the Castellum portfolio, the existing portfolio, we always go through and identify properties that could be efficient to sell, to give room for new acquisitions that creates a more efficient and modern portfolio. So we always analyze our existing portfolio, and we will always do. So you will also see sell-offs in strategically focused -- in markets where we are strategically long-term focused.
Maria Strandberg: All right. So we have one final question. Are you planning to present your LTV in accordance with the new recommendation from EPRA?
Rutger Arnhult: I think we will continue to resent it in the way we do now. If EPRA change, we will probably not follow that. And now, we might not even follow EPRA at all at the end. We’ll see. That’s an open discussion. We try to give a most accurate reporting as possible. And so that’s an ongoing discussion with them. So for now, we’ll continue to focus exactly the way we do. Maybe have both. So that it’s easier for analysts and investors to follow us. We’ll see.
Maria Strandberg: That was all the questions that we had today. Thank you for listening.
Rutger Arnhult: Thank you. Thank you all for listening.